Operator: Good morning, and welcome to Hill-Rom Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference call is being recorded and will be available for telephonic replay through May 11, 2015, see Hill-Rom's website for access information. The webcast will also be archived in the Investor Relations section of Hill-Rom's website, www.hill-rom.com. If you choose to ask a question today, it will be included in any future use of this recording. Also note that any recording, transcript or other transmission of the text or audio is not permitted without the written consent of Hill-Rom. [Operator Instructions] Now, I'd like to turn the call over to Mr. Andy Rieth, Vice President, Investor Relations.
Blair Rieth: Thank you, Amanda. Good morning, and thanks to everyone for joining us for our third quarter fiscal year 2015 earnings call. Before we begin, I'd like to provide our usual caution that this morning's call contains forward-looking statements, such as forecasts of business performance and company results, as well as expectations about the company's plans and future initiatives. Actual results may differ materially from those projected. For an in-depth discussion of risk factors that could cause actual results to differ from those contained in forward-looking statements made on today's call, please see the Risk Factors in our Annual Report on Form 10-K and subsequent Quarterly Reports on Form 10-Q. Also, we will discuss certain non-GAAP or adjusted financial measures on today's call. Reconciliations to comparable GAAP financial measures can be found in our earnings press release, the associated Form 8-K, and are also available as part of the presentation materials posted on our website. Joining me on the call today will be John Greisch, President and CEO; Chief Financial Officer Steve Strobel; and our Chief Operating Officer, Carlyn Solomon. The usual ground rules will apply to make the call more efficient. We've scheduled an hour in order to accommodate our prepared remarks and leave plenty of time for Q&A. During Q&A, please limit your inquiries to one question plus a follow-up per person. If you have additional questions, you may rejoin the queue. As you listen to our remarks, we are also displaying slides that amplify our disclosure. I would encourage you to follow along with us. The slides were posted on our website and will also be a part of the archive. With that, I'll turn the call over to John.
John Greisch: Thanks, Andy. Good morning, everybody, and thanks for joining us. We are pleased to report another strong quarter. Adjusted earnings and revenue were ahead of our expectations with adjusted earnings per share of $0.62 and revenue up 26% on a constant currency basis and a 11% organically. Organic growth was driven primarily by strength in North America as well as growth in Surgical and Respiratory Care we continue to achieve great success in our North America business were sales and service organizations continue to execute well and CapEx trends for our product categories remain favorable. Adjusted earnings were up 5% year-over-year despite about $0.08 of incremental incentive compensation expense this year as we discussed on our call last quarter. On a comparable basis adjusted earnings were up about 22%. So as we head into the final quarter of our fiscal year we are pleased with our performance thus far. Year-to-date adjusted earnings per share are up about 16%, the result of stronger revenue growth, contributions from the Trumpf acquisition and solid as SG&A leverage. Offsetting those benefits have been a 34% increase in R&D spending and lower gross margins. Although pleased with exceeding our expectations for the quarter and with meeting our operating margin target for the quarter was not satisfied with our current margin profile as part of our longer-term plans to drive improvement to our gross and operating margins. During the third quarter we announced a closure of two of our smaller manufacturing facilities. We will discuss more of our specific plans and longer-term margin improvement objectives at our September 25, Investor Conference. Before I turn the call over to Steve, let me add some additional commentary on the quarter. As I mentioned our North America business continues to have a great year. Orders for the third quarter increased sequentially 24% to the highest quarterly level we have seen in about four years, while backlog was up 15% sequentially. Unlike our fiscal fourth quarter in 2014 were we benefited from a couple of sizable individual orders most notably from HCA we saw strength in all product categories across the board without the benefit of any unusually large orders our North America rental business also grew year-over-year and was up 15% excluding the home care we exited business we exited last year. In Surgical and Respiratory Care we saw improved organic growth both sequentially and year-over-year. For the full year we expect Trumpf to perform in line with our original expectations. Our International business was relatively flat on a constant currency basis with minor ups and downs across the regions. The big news this quarter was obviously our acquisition of Welch Allyn announced in June. We remain on track to close the transaction on or before October 1. Acquiring Welch Allyn significantly accelerates our strategy and creates a stronger more diversified platform to drive future growth and value creation. We are excited about the breath of leading products and increase scale that our combined company will bring to our global customers. Integration work has begun and we have already made substantial progress. Carlyn and I have spent a significant amount of time with the Welch Allyn organization over the past month and we feel great about both the strategic and cultural fit between the two companies. We have appointed Alton Shader who currently runs our North American business to be President of Welch Allyn upon closing. We cannot be more excited about this acquisition and the benefits it will bring to our customers, employees and investors. 2015 has been a pivotal year for our company. We are enjoying a healthy CapEx environment for the majority of our product categories in North America and we are realizing the benefits of improved execution by our sales teams. In addition we are achieving solid growth from several key new product introductions over the past couple of years across our portfolio. These new products are the result of our increased R&D spending and improved execution from our R&D team. We have also made significant investments in our high-margin rental business and as expected we are seeing strong growth in this segment in the second half of the year. Looking forward I am confident that we will see the leverage benefit of the improving volumes on our rental gross margins. But we are pleased with the performance of Trumpf and our Surgical business I am disappointed with our International business. We have made several management changes recently appointing a seasoned International Executive, Carlos Alonso as President of International. In addition, our restructuring initiatives in Europe are progressing as planned. With a stronger team and more diversified portfolio I am confident we will see improvement in our International businesses in 2016 and beyond. As I mentioned previously, we have an opportunity to drive significant improvement in our operating margins and we have begun to address those opportunities this quarter in line with our margin improvement initiatives. Despite the dilutive margin impact this year from Trumpf and other cost pressures, we expect to deliver full year operating margins comparable to last year and for the second half ahead of last year. In addition, adjusted earnings for the year are expected to be up in low double-digits. That said we are committed to driving margin improvements across the portfolio in the future. Over the last year we have also deployed significant capital to improve our portfolio. Welch Allyn will be accretive to our margin profile by about 200 basis points and we will add an incredibly strong brand and product portfolio to our company. We look forward to closing the transaction around the end of September and enhancing the strong momentum we are enjoying in 2015 with the addition of Welch Allyn to our customer value proposition. Our team is very excited with the progress we are making this year and by the prospects we have as we look ahead. With that let me turn the call over to Steve.
Steven Strobel: Thanks John, and good morning everyone. Third quarter reported revenue was $475 million up 19.3% from last year or 26.2% on a constant currency basis. This increase was driven by our acquisition of Trumpf and constant currency organic sales growth of 11%, the strongest quarterly organic growth in four years. This organic growth was driven primarily by higher revenue in North America. Capital sales increased 24.4% to $377 million or 32.7% constant currency. On an organic constant currency basis, capital sales increased approximately 13%. Rental revenue increased 3.1% to $98 million and increased 5.5% on a constant currency basis. This is the first quarter of year-over-year rental revenue growth since 2011. Domestic revenue increased 21% to $308 million while revenue outside the United States was $167 million up 36% on constant currency basis both benefited from the Trumpf acquisition. Turning to revenue by segment, North America increased 19.3% to $252 million North America capital revenue increased 23.9% to $181 million on strong year-to-date capital orders. Third quarter capital orders increased 20% versus the prior year and our quarter end backlog increased 11% over the prior year and 15% sequentially. North America rental revenue increased 8.9% to $71 million reflecting the impact of recent large contract wins. Excluding the impact of the home care rental business we exited last year rental revenue was up 15%. Moving to our Surgical and Respiratory Care segment, revenue increased 80.8% to $120 million driven mostly by the contribution from Trumpf. Organic constant currency growth for the period was approximately 3%, up from 1% last quarter. Moving to International, reported revenue declined 14.5% to $102 million, but was approximately flat on a constant currency basis. Adjusted gross margin was 44.7% a decrease of 210 basis points compared to the prior year. Excluding Trumpf adjusted gross margin declined approximately 130 basis points. Year-over-year adjusted capital margin decreased 130 basis points to 42.9% with over half that decline due to lower Trumpf margins. The organic decline is driven primarily by lower international margins. Adjusted rental margin in the quarter was 51.8% slightly better than expected, but down 340 basis points versus the prior year. This was driven by lower pricing and higher depreciation expense from the rental investments we've discussed previously. Moving onto operating expenses adjusted R&D increased 32.4% year-over-year driven by the addition of Trumpf an additional new product development investment. Adjusted SG&A decreased 150 basis points as the percentage of revenue, reflecting ongoing expense control adjusted. Adjusted SG&A expenses increased 13.3% year-over-year largely driven by Trumpf. Adjusted operating profit for the quarter was $54 million representing an 11.5% operating margin. On a sequential basis adjusted operating margin was flat and versus prior year adjusted operating margin decreased 100 basis points, half of which was due to Trumpf. The adjusted tax rate for the quarter was 31.1% compared to 28.7% in the prior year this increase was driven primarily by geographic mix. So to summarize the income statement we achieved adjusted earnings per diluted share of $0.62 an increase of 5.1% over the prior year. As John mentioned, our third quarter adjusted earnings growth was negatively impacted by variable compensation expense as compared to last year, normalized for that EPS growth would have been approximately 22%. Year-to-date adjusted EPS is a $1.75 a 15.9% increase over the same period in 2014. Year-to-date operating cash flow of $124 million compares $134 million last year, down primarily due to lower contribution from working capital and an increase in cash taxes. Year-to-date capital expenditures increased by approximately $58 million due mostly to the incremental investment in our rental fleet. Now, let's move on to guidance, which excludes any impact from Welch Allyn. For fiscal 2015 we expect reported revenue growth of 12% to 13% compared to our prior range of 10% to 11% this change reflects slightly stronger constant currency revenue growth driven primarily by North America capital, offset by weakness in our International business. Our forecast is based on the following assumptions, mid-single digit constant currency organic revenue growth up from low-to-mid single-digit in our prior guidance and negative currency impact of approximately 6%. Regarding earnings we expect fiscal 2015 adjusted earnings per diluted share between $2.51 and $2.54 compared to our previous guidance of $2.50 to $2.54. More specifically this outlook reflects the following, low double digit revenue growth in North America up from our prior guidance range of mid single-digit, low single digit constant currency declines in international revenue down from our prior guidance of flat revenue, Surgical and Respiratory Care organic constant currency revenue growth in the low single digits. Gross margin of approximately 45% R&D spending of 4% to 5% SG&A that is improving as a percentage of sales, tax rate between 30% and 31% slightly up from our prior guidance of 29% to 30% and approximately 58 million shares outstanding for the year. We now project 2015 operating cash flow to be approximately $235 million and capital expenditures of about $125 million yielding free cash flow consistent with prior guidance. As a reminder our CapEx outlook includes non-recurring investment in our rental fleet, which we expect to be approximately $50 million in 2015. Now moving onto fourth quarter guidance we project reported revenue to increase 1% to 3% this reflects the following assumptions. Low single digit constant currency organic revenue growth and a negative impact from currency of approximately 5%. We expect adjusted diluted earnings per share in the range of $0.76 to $0.79. And with that, I'll turn the call back over to John.
John Greisch: Thanks, Steve. So to wrap up our third quarter reflected another strong performance with our best organic top line growth in over four years. We are also pleased with our 16% year-to-date increase in adjusted earnings and with consistently meeting or exceeding our expectations. We expect to close the year strongly with adjusted earnings in the range of $0.76 to $0.79 the highest in the company's history. In addition we expect our fourth quarter operating margin to be the strongest of the year and up over the prior year despite the dilutive impact from Trumpf and other external margin pressures. As I mentioned earlier despite feeling good about delivering the year of solid double-digit adjusted earnings growth we’re not satisfied with our current margin profile. We look forward to discussing at our Investor Conference, our plans to improve our product mix and cost structure to drive consistent growth and margin improvement in the future. We’ve demonstrated the ability to do so in the past and we’re confident we’ll continue to do so going forward. Strategically our acquisition of Welch Allyn is a significant step on our journey to build a stronger more diverse portfolio with a compelling set of solutions for our customers, we are very excited by the prospects this combination brings to our value creation strategy. We look forward to sharing more information about our key strategic and operational initiatives as well as longer term financial targets, when we see many of you at our Investor Conference in New York on September 25. With that, operator, please open the call to questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Bob Hopkins from Bank of America. Your line is open.
Robert Hopkins: Thanks and good morning.
John Greisch: Hey, Bob.
Robert Hopkins: So, just a couple of quick things. First, John, from a big picture perspective obviously the market in the United States and North America for beds and capital and the markets for capital could be generally seen very solid right now and you guys are taking advantage of that in executing well. I guess my question is could you just talk a little bit about what you're seeing out there as we look forward your confidence that we can see this healthy capital environment continue because I don't think any of us believe it’s going to last for ever. So I'm just very curious is to kind of what you're seeing currently in terms of hospital budgeting, order patterns and confidence that this good market can continue.
John Greisch: Sure, Bob. You're absolutely right. Two things are going on this year. One, our teams are executing phenomenally well. The 25% growth in capital revenue here in Q3 I think is as strong as you are seeing in any product category and certainly stronger in our product category than anything we've seen from other so far. So from an execution perspective, our team is knocking it out of the park this year. The strength of the underlying market, you're right I don't expect to continue to see double-digit growth going forward, but everything we are seeing right now in terms of activity, order and co-op bank levels you’ve heard our backlog up sequentially and year-over-year and double-digits. There is certainly a lot of strength that we are seeing in activity levels and spending levels and you roll on top of that the execution success of our teams. We feel good that we’ve got momentum that’s sustainable here certainly for the foreseeable future. As I said the double-digit growth, we don't expect that going forward. We'll talk about our plans for 2016 obviously in three months and some of our longer-term objectives in September, but I don't see any signs of any slowdown here that give us cost were concerns that we are not going to continue the momentum that we are enjoying right now. The fourth quarter you heard Steve's guidance we expect more organic growth, we had a very strong quarter last year and we are hedging our best a little bit on the fourth quarter relative to any timing disruptions on shipments that may occur in the fourth quarter given the strength we had last quarter, but the activity levels, the backlog, the order levels we saw in Q3 all support continuing strength going forward.
Robert Hopkins: Great. And then a quick question on gross margin as well especially relative to the strength you are seeing in your North American capital business. When we look at the quarter from operating margin perspectives it was about inline with what we thought, but the gross margin was a little bit below we thought in SG&A savings really came through. I'm just curious with such strong performance in North American capital maybe you didn't see a little bit more momentum in gross margin. Just wondering…
John Greisch: Sure, Bob. It’s a good question. The biggest single impact on our margin performance here in the second half of the year is international. The biggest single impact on our revenue expectations despite the improvements in North America is international as well. So as I mentioned in my comments I'm very disappointed in the outlook that we’ve got today for international and we thought we are going to see some recovery here in the second half of the year in a couple regions, largely the Middle East, which is not materialized. And the margin impact internationally in addition to the revenue shortfall from our expectations has also been a negative drag on us. So I'm not too worried about the North American margins SRC or Surgical and Respiratory Care excuse me performing well. And the biggest issue that we are going to tackle is international. I feel really good about where we are closing the year, our second half of the year operating margin is going to be up close to a couple hundred basis points from the first half of the year. It's up in the second half over last year despite the bigger impact from international erosion and from Trumpf. So we go into next year with the momentum we’ve got with our operating margins together with the cost improvement initiatives that we've begun to execute give us a lot of enthusiasm which you’ll hear about in September towards operating margin improvements going forward.
Robert Hopkins: Great. Thanks for the color John.
Operator: Thank you. Our next question comes from David Roman from Goldman Sachs. Your line is open.
David Roman: Thank, good morning John and team.
John Greisch: Hi, David.
Steven Strobel: Good morning.
Carlyn Solomon: Good morning.
David Roman: I want to just start with the Surgical and Respiratory business - you call that an organic growth rate of 3%, which marks a fairly decent acceleration from what we saw last quarter although. As I think about the business entering this year that was trending closer to the 5% to 6% range. Could you sort of talk about any factor that have influenced the growth in that business on a year-to-date basis and what the prospects are for returning that to that sort of higher mid single-digit side growth rate?
John Greisch: Sure David. I’ll let Carlyn take that one he is here with us today too.
Carlyn Solomon: Hey, David. We have invested more of our R&D dollars in or Surgical and Respiratory Care Business. And so we have a lot of positivity going into next year because we are going to get the release to some of these new products. And as John said we’ll go through some of those when we get to our Investor Conference in September, but we see good opportunity and the Trumpf line with some of the corporate partnerships we formed and some of the joint R&D we’ve done with people like Intuitive Surgical. We also see opportunity in our Allen business and in our Respiratory Care business where we’re making some investments in R&D and new products will come out. So lot of that’s going to come from innovation and we anticipate we’ll get back to this mid single-digits kind of growth rate in that business.
Steven Strobel: Yes, I think just to add to that David even though it’s not specific to your question about organic growth, the growth that we expect with Trumpf leveraging the Hill-Rom channel, the investment we’ve made accelerate growth in North America. We’re seeing that here in the second half for the year. So as we go in to 2016 I think obviously will anniversary the acquisition of Trumpf and it will all be organic next year, but I think you will see Trumpf showing some pretty good growth on the back of the investments we’ve made and the relationship leverage ability that we have with our customers.
David Roman: Okay and that’s good segue to my follow-up question, which sort of involves both Trumpf and Welch Allyn because I think one of the value drivers you talked about in both cases is the opportunity to cross sell in different channels particularly as it relates to geographic expansion using Trumpf’s International presence to drive acceleration to Hill-Rom brand and I guess light source are domestically and one of the things you talked about Welch Allyn is the ability to sort of globalize some of those franchise – you may be talked to us a little bit about where you are to respect with setting up the infrastructure to be able to do that and your confidence level to be – to see some of those benefits come through in the relative near to intermediate-term once that deal closes?
John Greisch: Sure. Confidence level is high the enthusiasm both internally and externally about the value of the two franchises together is very high. And I’ve – yes Carlyn and we personally hear that from large system CEOs as well as our own internal folks. So our confidence in achieving what we talked about when we announce the deal it is greater today than either ones that day just given the internal and external excitement that we’ve seen. In terms of setting up the infrastructure I mentioned in my prepared comments, we’ve appointed Alton Shader one of our top executives to run Welch Allyn we’re in the middle of the integration planning in terms of exactly how we are going to structured we have a very clear picture of what that's going to look like it and rather not get into it on this call and so we actually implemented and communicated internally, but the infrastructure needed that the people that are – we are going to depend upon around the world to execute that strategy we have a very, very clear picture and know who all the key players are and the roles that will carry out for us.
David Roman: Okay. Last one really quick clarifying question. Just on the time of the close of the Welch Allyn deal, it looks like things are running a little bit ahead of schedule but you’re reiterating that by October 1 timeline anything being held up in the S-4 process or is this just you’re sticking to your original targets?
John Greisch: I think, the original target of October 1, is one we feel comfortable with if we get some quicker reviews with S-4 that may get accelerated by a couple of weeks, but it's likely to be in September or October 1 at the latest.
David Roman: Great, thank you very much.
John Greisch: Thanks David.
Operator: Our next question comes from David Lewis from Morgan Stanley. Your line is open.
Jonathan Demchick: Hello, this is actually Jon Demchick in for David.
John Greisch: Good morning, John.
Steven Strobel: Good morning, John.
Jonathan Demchick: You mentioned improving product mix is going to be I guess a focus or a discussion point at the Analyst Day in September. But I wanted to kind of check in on to see if - this improving product mix [chat] was kind of on organic shifts or is it more related to perhaps you know Welch Allyn and maybe even more deals moving forward. I know that you are in the middle of closing the Welch Allyn deal. But did that get you to where you want to be in longer-term or in terms of product mix or is there more sizable deals to be had moving forward?
Carlyn Solomon: Hey, John this is Carlyn. I’ll address this and let John clean it up. First of all its both, it’s both organic and it’s inorganic things that we’re looking at. To give you an idea of the organic size one side, one of the things we see for instance in our product mix in our bed business you know what we call PSS our North American businesses is we’re seeing a really nice growth in our clinical workflow solutions, which carries with it a higher margin than the rest of the business. And so we’re seeing lift from like that from a number of our businesses and our Surgical business where we’re focusing more resources including R&D dollars and including focus on the more highly profitable regions. So in Trumpf more on the U.S. and in product lines that bring a higher profit margin we’re seeing that. And then as you very correctly pointed out the Welch Allyn has a very positive effect on our operating margins and our gross margins and that's also part of the strategy.
John Greisch: Yes, John. Just to add to that. I want to go back to what I said the last couple of quarters. When we acquired Trumpf, describe that as a unique platform addition to our portfolio recognizing it had a lower margin profile, but not to expect that going forward. Welch Allyn is exactly what we talked about looking for 200 basis point accretive significant acquisition to the portfolio, there will be certainly more additions to the portfolio as we go forward I don't see Welch Allyn is being that the last edition and as Carlyn said, accretive additions to the portfolio is we’re focused together with the operational initiatives, that we think are going to enhance what’s even a second half of the year this year improving margin profile. So we got a lot of margin opportunity improvements ahead of us that we’re very excited about, so not going to come without some heavy lifting, but we got the team to execute them over the next couple of years and we are trying to look more next year, so it’s going to be – in September excuse me. So it’s going to be a combination of new products such as the ones that we’ve launched over the last couple of years, accretive acquisitions and operational improvements to the footprint that we have today.
Jonathan Demchick: Thank you, very clear. I wanted to follow-up on the International segment, which is probably been the loan week point of the year from a top line perspective and even from an operating line one as well. You mentioned there is some management changes in the International segment, and I was curious if the focus was more on turning the top line or to go was more on improving the operating margins?
John Greisch: It’s really both. I mean our international top line this year organically is going to be relatively flat and that's not acceptable. We all know the challenges in Europe we all know what's going on in the Middle East I don’t think we’re the only company experiencing softness in the Middle East. At the same time we’re seeing strong growth in Asia and we expect to continue to see growth in Latin America particularly as we consolidate the portfolios between Trumpf, Welch Allyn and the Hill-Rom portfolio I expect to see some leverage benefits internationally as well as domestically. So that gives me confidence as I look forward internationally. But that the revenue growth is what we got to turnaround because obviously with flat revenues we’re not going to drive a heck of a lot to the bottom line, even with the restructuring actions we got in place. So Carlos is job number one is to drive revenue growth. And if we’ve got a good plan on the - that the cost improvements, across the company not just internationally, but we’ve got to turnaround the revenue growth. And it’s clearly as I said in my comments our biggest disappointment this year if international was delivering anywhere near our expectations and we would be having a phenomenal year this year.
Jonathan Demchick: Understood. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Matt Mishan from KeyBanc. Your line is open.
Matt Mishan: Good morning and thank you for taking the questions.
John Greisch: You bet. Good morning Matt.
Matt Mishan: Hi, on the international so I just following up on that it's been challenging not just for you, but for – pretty much for everyone. I guess my question is, is this – or some of the changes you're making like or some of the shortfall is it held around specific issues or is it the market issues or is currency affecting your ability to win business. Could you give us a little more color on what's been often and what’s the deltas between or do you expected to coming into the year internationally and where you are at today?
John Greisch: Yes, let me tackle the currency question first. It’s obviously impacting our reported results as it is everybody's that's fairly clear. I don't think it has an impact on our competitiveness because the majority of our products are made in region. If you look at most of our European sales, the products are sourced in Europe for the most part, that’s not completely. So I don't think we are seeing any competitive disadvantage from a pricing FX perspective. How much of it’s external, how much of it’s internal. Obviously, we made a Carlyn appointed a new head of international which signals we’ve got some internal issues to deal with which I'm confident will bring on Carlos Alonso the guy that we appointed, he has got 30 years of experience running sizable international businesses, he has worked for me before at Baxter and he has got a tremendous background all over the world Europe, Latin America as well as in North America. So we’ve got some internal things that we need to clean up. I think if you look forward the thing that I'm most excited about internationally, we’ve now got about a $1 billion business outside the United States under Carlos's leadership across the portfolio. So the ability to drive more operating leverage and more top line growth with a stronger portfolio I think is the biggest opportunity as we look forward.
Matt Mishan: Okay. And just to clarify on the guidance I think previously I didn’t catch some of your commentary on the operating margins, but I think you said year-over-year you thought that operating margin including Trumpf, we are going to be up in the fourth quarter, but I think previously you had thought that it was going to be up for the year and I didn't hear the commentary on margins for the year?
John Greisch: Yes, for the full-year, our organic operating margins ex-Trumpf will be up year-over-year, but for the full-year our total operating margins are expected to be flat to slightly up including the impact of Trumpf dilutive margins.
Matt Mishan: Okay, great. And then just last question just some of the puts and the takes around the cash flow. I think you lowered operating cash flow and improve the CapEx.
Steven Strobel: Right. Hey Matt, this is Steve. Exactly the puts and takes, the biggest put or take I guess it would be working capital and it’s really around timing in the additional top line that we’ll have in the fourth quarter driving a little bit more receivables, we've also got a little bit more cash out for some of the restructuring activities that we had previously planned. So those are the major contributing factors to the fact that we are bringing our operating cash flow down from prior guidance. It’s important though as you noted that we’re managing our cash flow holistically and so managing CapEx as well such that our free cash flow expectations for the year are inline with where we were last time.
Matt Mishan: All right. Thank you, Steve. That was helpful. End of Q&A
Operator: Thank you. At this time I'm showing no further questions. I’d now like to turn the call back over to Andy Rieth for any closing remarks.
Blair Rieth: Thanks Amanda and thanks to everyone for being on the call. We look forward to seeing you at our September 25 Investor Conference in New York. Thanks everybody.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.